Operator: Thank you for standing by. At this time, I would like to welcome everyone to today's ESAB Corporation Third Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Mark Barbalato, Vice President of Investor Relations. Mark, please go ahead.
Mark Barbalato: Thanks, operator. Welcome to ESAB's third quarter 2024 earnings call. This morning, I'm joined by our President and CEO, Shyam Kambeyanda; and CFO, Kevin Johnson. Please keep in mind that some of the statements we are making are forward-looking and are subject to risks, including those set forth in our SEC filings and today's earnings release. Actual results may differ and we do not assume any obligation or intend to update these forward-looking statements, except as required by law. With respect to any non-GAAP financial measures mentioned during the call today, the accompanying reconciliation information related to those measures can be found in our earnings press release and today's slide presentation. With that, I'd like to turn the call over to our President and CEO, Shyam Kambeyanda.
Shyam Kambeyanda: Thank you, Mark and good morning, everyone. Thank you all for joining us today. We're pleased to report another strong quarter marked by positive volume growth, record third quarter margins and robust cash flow in a challenging market. Our differentiated geographic footprint, award-winning products, commercial excellence initiatives and strategic acquisitions continue to drive our organic growth. Let's move to Slide 3 to discuss specific highlights for the quarter. First, I want to recognize our teams globally for their relentless commitment to our strategy and EBX. Strong demand in high-growth markets such as India, other parts of Asia and the Middle East have helped counterbalance slower markets. Our portfolio of light and heavy industrial equipment has continued to deliver with equipment sales increasing in the low double digits this quarter. These new products continue to gain momentum across our channels. Additionally, we're seeing steady growth in our gas control equipment business with positive volume and price. Adjusted EBITDA margins expanded 130 basis points to reach a record 19.6% for the third quarter. And year-to-date, we have generated a record $215 million in adjusted free cash flow, enabling us to execute our compounded strategy. Turning to Slide 4; I've been sharing stories that reflect the passion of our teams and the power of our enterprise to shape the world we imagine. This time, I want to share my reflections from my recent trip to visit our teams and customers in the Middle East and India. As you know, we pride ourselves as an executive team in going to Gemba. This trip was reassuring. I know I've mentioned this to you all before; I grew up in India and have been visiting the Middle East since the early 2000s. I have to reiterate, the energy is different and on every trip, you see meaningful change in infrastructure in both these regions and you get additional insights to new projects and plans. For those of you familiar with the Emirates, you now see development beyond Abu Dhabi and Dubai. There are ambitious plans in Ras Al Khaimah. Similarly, Saudi continues its progress, creating growth for ESAB and generating significant excitement. Our largest customers in the Middle East now have a backlog of orders extending 5 years. And if anticipated government investments in Saudi Arabia materialize, this could further increase the backlog at our customers. We're also focused on addressing the skilled welder shortage by training the next generation of welders. We've established several training schools in the Middle East. This quarter, I'd like to highlight our team's activities in India. Clearly, it's no longer the country I grew up in, the changes are noticeable now, with every visit, you see cranes and construction in Tier 3 cities. And our team in India is doing some exceptional work. We're proud of our business there and we are the market leaders in this dynamic, rapidly expanding geography. We've made consistent investments in expanding our R&D capabilities in Chennai, as well as adding manufacturing capacity to meet both current and future demand. On the specific project called Project Bandhan which means bond or binding in English, our team is very proud of this initiative where we are actively training the new generation of welders on ESAB's equipment to meet the unprecedented growth we're expecting. We are training 5,000-plus welders annually in India. And more importantly, we're providing the new generation of welders special training around workplace safety. As you may know, at ESAB, we believe zero incidents is possible. As we shape our future in India, our teams have volunteered over 45,000 hours to this initiative in 2024. Let me leave you with another statistic on India. We know India's infrastructure needs are significant and the government has announced investments of around $1.7 trillion over the next 7 years. I'm proud to say that ESAB is paying a crucial role in training the skilled workforce necessary to support India's growth plans. Moving to Slide 5; let's explore how we're building the capabilities to accelerate sustainable long-term growth. As I mentioned during Investor Day and earlier in my comments today, we're seeing good progress in equipment sales globally. Let me share what our teams have been working on to enable this growth. First, our commercial excellence initiative, highlighted at our Investor Day is gaining traction. By refining our approach to better serve customers and aligning our organization around ESAB's key customer segments through our product line simplification process; we're accelerating growth while enhancing customer experiences. As a result, we are going faster in equipment. We're also amplifying our innovation pipeline supported by our EBX open innovation model which continues to shorten the time needed to bring new products to market. Alongside these efforts, we're enhancing our presence in the channel with targeted marketing initiatives including creating social media studios across each geographic region to showcase new products and build brand equity. These digital marketing efforts supported by content creators are already generating significant positive impact, resulting in approximately 900 million social media impressions for ESAB. All this hard work was validated by a brand market study we did that showed ESAB's brand recognition in North America has improved by 200%. Moving to Slide 6; let's review our quarterly performance. Organic sales increased by 100 basis points, reflecting continued strength in high-growth markets. These results reflect double-digit growth in equipment sales and positive growth from our gas control business. Adjusted EBITDA expanded 130 basis points year-over-year, setting a third quarter record of 19.6%; all this was driven by EBX initiatives across the company. Turning to Slide 7 and focusing on the performance in the Americas. Organic sales rose by 200 basis points, driven by strong pricing performance which offset softer end markets that we expect. Our equipment and workflow solutions continue to drive excitement in the channel and the team did an excellent job using EBX sales tools and lean initiatives to deliver 190 basis point increase in adjusted EBITDA margin reaching a third quarter record of 20.6%. Moving to Slide 8 to discuss the performance in EMEA and APAC regions. Our teams in Europe, Asia and the Middle East achieved another quarter of solid performance. Volume increased by 200 basis points, with high-growth markets offsetting the volume softness in Europe as expected. Effective use of EBX, net pricing tool and strong operational execution led to 100 basis points margin expansion year-over-year, reaching 18.9%. On that positive note, let me hand it over to Kevin for Slide 9.
Kevin Johnson: Thanks, Shyam. Good morning. During the third quarter, ESAB delivered positive organic growth, 130 basis points of year-over-year margin expansion and robust free cash flow generation despite more challenging market conditions. More specifically, on cash flow, we generated $96 million in the quarter and had a cash conversion of greater than 120% as we continue to use EBX to drive improvements in our order to cash processes. We used part of this free cash flow to fund the terrific Linde Bangladesh acquisition we completed in the quarter which is integrating well into ESAB. The combination of our strong balance sheet, coupled with our consistent cash flow generation, positions ESAB well to execute on our compounder journey. Moving to Slide number 10. Given our stronger-than-expected results in the third quarter, we have raised the midpoint of our guidance across the board. Sales guidance has been raised 0.5 point at the midpoint to 0% to 1%, benefiting from the performance of our high-growth markets and continued share gains in equipment. Adjusted EBITDA has been increased $5 million at the midpoint to $500 million to $515 million as we use our business system EBX to drive further improvements in our business. Below the line, interest expense guidance has been narrowed to $68 million to $70 million whilst tax guidance remains unchanged at 23% to 24%. Adjusted EPS increased at the midpoint and is now $4.80 to $4.95 benefiting from our stronger performance. We are pleased with our team's execution so far this year and we expect to finish 2024 with positive momentum. On that note, let me hand back to Shyam on Slide 11 to wrap up.
Shyam Kambeyanda: Thank you, Kevin. Before I close, something I've not mentioned yet. In September, ESAB celebrated its 120th year in business. ESAP started in Sweden with the invention of a coated electrode by Oscar Kjellberg. Since then, ESAB has been a leading global innovator in fabrication technology. Our associates and customers joined us to celebrate our 120th anniversary. We received great feedback on the improvements we've made since 2016 and suggestions on what we could do better. It is also clear that there was great excitement about our future and in particular, our latest products and workflow solutions. As we look back on our 120-year history with pride, we understand we need to change and adapt to win the future. To summarize the quarter, our strategy continues to drive robust performance. We delivered another strong quarter with positive organic growth, record third quarter margins and solid free cash flow generation. Our EBX approach continues to permeate the business. The innovation engine continues to deliver. And this quarter, we are bringing our manufacturing leaders together to share best practices and raise the bar on our standards of performance. Our balance sheet is at its strongest point. Our active acquisition pipeline is full and positions us well to pursue strategic assets that enhance growth and margin expansion. We are on track to achieve our 2028 goals, $4 billion in sales, 22% plus in EBITDA margins and free cash flow that exceeds net income. Remember, we're just getting started. Thank you all for joining us this morning. With that, operator, let's open the line for questions.
Operator: [Operator Instructions] It looks like our first question comes from the line of Mig Dobre with Baird.
Mig Dobre: I guess where I'd like to start, your comment on equipment sales being up double digits. I thought that was quite interesting relative to the more subdued end market or macro backdrop, if you would. So I'm sort of curious here, can you give us some sense for where -- which geography you're seeing this growth in equipment? I don't know if it's broad-based or if it's just 1 or 2 select geographies? And then secondarily, is this just a function of pure new product rollouts? Is there like a channel stocking dynamic here that we need to be aware of? Yes, let's start there, if we can.
Shyam Kambeyanda: Yes. Mig, always good to hear from you. So a couple of things. First, I do believe there's a couple of things in play here for ESAB. The first one is the commercial excellence initiative that we embarked on which really drove training, selection, changes in our incentive plans and training of our sales force to be able to sell really what was a different portfolio for ESAB. The second piece and something that we've talked about is that today, ESAB plays with a full portfolio, both in consumables and in equipment. And don't forget, we also have our gas equipment business that did well in the quarter. And so as a matter of fact, our sales teams are out there are now selling a very good portfolio that competes extraordinarily well with our peer group in the marketplace. The third piece which I think you sort of highlighted, we're making great progress in North America. It's tremendous interest. We always knew that the North American market for us was going to be something that we would work on and slowly begin to make a turn. We are seeing significant interest there. But what we are seeing in markets where we had positions of strength in the past like Europe, like South America, India, our equipment business is actually doing very well and U.S. customers in those markets continue to shift to our brand. And so that's what's driving our equipment sales. And to your question of whether we're seeing some -- if I were sort of to paraphrase what you said the regular movements in the channel that's causing some stocking? The short answer is no. What we are seeing is good progress against our execution plans and our growth bridges.
Mig Dobre: That's great. Then I guess my follow-up question on Europe. It sounds like things have gotten tougher there. The auto sector, obviously, is going through some tougher times. I'm curious how your business, if you can kind of separate out in Europe specifically how your business is performing there? And as you think about 2025 and I'm not looking for you to provide guidance but just some context here. Is there an argument to be made that eventually Europe starts to see a bit of a bottom forming and that becomes a little more accretive rather than detracted to growth?
Shyam Kambeyanda: Yes. I think for us, just so that we calibrate ourselves that we saw Europe perform similar to how it performed in Q2. So we didn't see necessarily a pronounced dip or a change in how our European market performed but that being said, I would also state that our teams are doing a phenomenal job in Europe gaining share. And I pursued our product line simplification activity with 80/20 and where we're focused related to growth. If you remember, I had mentioned to some of you that as we looked at our product line simplification, our view was to take that initiative with an inclination towards growth. And that's really what our teams have been executing in Europe and doing extraordinarily well. And so our view of Europe as we finish out the year is that it stays at similar levels. It is subdued. The question you asked me regarding end markets, you're right. We see yellow goods. We see automotive down a bit. But we generally are finding opportunities to grow share, to penetrate in terms of share of wallet. And so our intention on that particular front is to continue to play that but we're not seeing a worsening market in Europe, if that was the gist of your question.
Operator: And our next question comes from the line of Nathan Jones with Stifel.
Adam Farley: This is Adam Farley on for Nathan. Maybe we can start with pricing. Could you talk about the differences in pricing and input costs regionally? And is the price cost -- sorry, go ahead, Shyam.
Shyam Kambeyanda: No, no. Finish out your question, Adam, sorry.
Adam Farley: I was going to say, is price cost still favorable in EMEA and APAC, despite the pricing compression?
Shyam Kambeyanda: Yes. I think let me start that question off and I'll hand it to Kevin to kind of give you a little bit more color. I think one of the things that we've often talked about with all of you is our pricing discipline and the process that we've instilled within our businesses. And it's great to see that really show itself in how we performed in the third quarter. And we've talked about value pricing. We've talked about shifting the mix of our business to a higher quality, higher calorie content product lines. And then the third piece is inflation-based pricing where -- whether we see prices going down or up, we're very quickly going out to the market with that particular aspect. So to answer your question on net price, we are positive in net price, both in the Americas and in Europe. And then Kevin can give you some color by region as to how we're thinking about pricing.
Kevin Johnson: So as Shyam mentioned, we're expecting flat organic growth in the fourth quarter, both in the Americas, EMEA and APAC. In Americas, the expectation is we'll have positive price and flat to negative volume, whereas in the EMEA and APAC, we're expecting positive volume and negative price. And as Shyam has said, we're very pleased with the performance of our teams. We've put a lot of effort and work into the management of net price. And in both of the segments, our expectation is that we will be margin positive.
Adam Farley: Okay, that's really helpful. And then just kind of shifting gears here. South Asia, India, Bangladesh, obviously, a very key growth markets for ESAB. Are there any key product or channel gaps that the company still needs to address in the region?
Shyam Kambeyanda: Well, I think there's a few things that we often talk about in those markets. I think the view for us and then what I talked about briefly is how do you create better brand equity, how do you create better demand, how do you create a workforce that's very comfortable with your brand and is trained on your brand. And so our focus in those geographies are establishing schools, establishing training centers, creating content that make people familiar with our products much easier, access to our products are getting easier through e-commerce. And as a result, what we're doing is adding to our spaces there. And I think I've mentioned this before, in those markets and now with the acquisition that we did in Bangladesh which is another fast-growing economy, we're basically 4x, 5x size, our closest competitor and we've got a ground game with the sales team that's also multiple size bigger than our closest competitor. And our intention is there is to serve that market well, serve that market in a way that makes -- pleases our customers, most importantly and then introduce products that make sense. And so one of the things I talked about was our investment in the R&D center, creating products that are pertinent to the market and building that out. So the short answer is that we're not resting on our laurels in those geographies where we have a lead. We're continuing to change the game using new tools that we're bringing to market and trying to expand our user base.
Operator: Our next question comes from the line of Tami Zakaria with JPMorgan.
Tami Zakaria: Really nice quarter. Two questions. The first one is actually about EMEA, APAC; I thought that segment's performance was very good and interesting because your volume grew on top of a really strong number last year. And volume has been actually quite strong for some time for that region. Again, a very -- not so great macro backdrop. So I'm trying to understand, are you gaining share in that market or do you have a different type of end market exposure that's driving this volume growth? Anything you can share about what you're seeing in that end market and how you're sustaining positive volume growth for some time now?
Shyam Kambeyanda: Yes. Tami, thanks for the question. A couple of things that I want to start with. First is our teams. One of the things that we've always spoken about is that we've got local teams with local leaders that understand their markets, that understand the distribution channel and understand our products well. And in the geographies where we've had legacy strength, in my opinion, you can see us outperform. And so for some of the questions that we often get is how is your product line performing and did you develop a strong product line, the results actually reflect the strength of our product line that we've developed over the last 8 years. The second piece around that is the Middle East and India. And we have worked extraordinarily hard over the last 8 years to establish our leadership position, create separation between us and what's available in that particular market, using our growth bridges, using our digital tool kits that we've brought to market along with our portfolio to continue to separate ourselves and make it easier to do business with. And so the short answer is all of those aspects are what's allowing ESAB to begin to separate itself in these geographies. And I think the numbers would state that, yes, we are gaining share. But if we're gaining share because we focused on these markets and have invested in these markets over the last 8 years. This is not something that ESAB has done in the last 12 months. This is something that we've been up to for the last 60 months. And if I could just add to the end of it, it's important to also state that we've been investing in our business for the last 8 years. I would submit something that I've said to all of you individually as well is that we're very comfortable with our margin expansion journey. And the reason being is that over the last 5 years, we've reinvested in our business that has allowed us to kind of gain share, allowed us to introduce new products, allowed us to create separation and we expect to continue to do that. So our margin expansion story is not just taking everything that we do and put it down to the bottom line, it also means that we're taking something away and investing in our business for the long term.
Tami Zakaria: Got it, that's very helpful. So your investments in India and Middle East seems like definitely paying off along with the other stuff. Okay, great. And then my next question is, going back to that equipment growth, I think you said low double-digit growth in the quarter. Can you sort of remind us the refresher on what your equipment share is in North America versus consumables share in this region? And do you see a path to bridging that gap? I'm assuming consumables share is higher. So do you see a path to bridging that gap between the 2 over time?
Shyam Kambeyanda: Yes. So let me answer that question. I think specifically, you were sort of talking about North America with that question but let me sort of answer that question a little broadly and then I'll speak about North America, in particular. So broadly speaking, you're spot on. We are seeing our equipment portfolio perform extraordinarily well in markets where we've always had a brand presence in equipment. So in Europe, in South America, in India, in the Middle East, we're seeing our equipment begin to sort of really gain traction. And as a result, we're seeing sales and equipment grow faster than our sales in consumables. And so that's really reassuring; one, because the product line we've developed; two, because our sales teams are capable of selling it. The second aspect of that is something that I told you is North American customers in those regions are shifting to yellow. And so we're very confident that over time, we're going to see a lot of that also happen in the geography that you and I sit in which is North America. Our position in North America in terms of equipment was low. We've not given out the exact numbers of our share in filler metal or in equipment. But what we are comfortable with is that it's something that I spoke about even in my script, where our brand recognition has grown 200% in North America. The other thing that we've stated to all of you is that we plan to work in the North American market by selling value. Our intention is that we're building best-in-class products. We've got a great nomenclature and brand that we're establishing in North America. And we're going to play this game for the long term. And so I'm very comfortable. The progress that we're seeing globally. We're seeing green spots also in North America. And over the next couple of years, we should see that grow as well and us gain share.
Operator: Our next question comes from the line of David Raso with Evercore.
David Raso: I don't mean to take you through too many numbers here but just a couple of quick ones. I believe you said flat organic for the fourth quarter. That would imply the full year is closer to the high end of the range. Is that fair to say, am I doing my math right? The midpoints now like 50 bps for organic but it sounds like if you think you can do organic in the fourth quarter, we're closer to 1% for the full year. Can you just confirm that math?
Kevin Johnson: The math would take you there round about 50, probably at that midpoint of the guidance if you use the midpoint of the range of what's given, David.
David Raso: Okay. My math would imply that the fourth quarter might be down 100 to 200 basis points to get you to only 50 bps. So we can discuss that offline if need be. But when it comes to the American volumes, the Americas, I think you said flat for the fourth quarter. Did I hear that correctly on volumes from you?
Kevin Johnson: No. Yes, we say flat to negative on volumes for the fourth quarter.
Shyam Kambeyanda: No, he's talking specifically Americas. I think you mentioned price to be positive...
Kevin Johnson: Sorry, in the Americas, price would be positive and we'd expect slightly negative volumes.
Shyam Kambeyanda: And it was the reverse for the rest of the world.
David Raso: Correct. I got that. The spirit of the question is just making sure, when I look at the consensus for next year on the top line, over 4%, the carryover in acquisitions from Sager and Linde, Bangladesh is probably 40 bps or 50 bps. The SUMIG acquisition, I assume that's still expected to close. Any help on the revenue there for helping for total sales for next year, assuming it closes...
Kevin Johnson: Yes. So we've given out, David, on the last call, we expect something to have around about $30 million of revenue for the full year. We're still working through the process and we still expect the SUMIG acquisition to close in the fourth quarter.
David Raso: Okay. So that's helpful. That adds another maybe 100 bps or so. So basically, organic in the guide is about 2.5 plus. The volumes in EMEA, obviously, are having helpful in that trajectory with the common absorbed saying Europe is not getting worse. The Americas volumes. I'm just curious the negative volumes, can you give us a little more color on what's going on there? Is there a bit of a selective -- hey, we're focused on price which was impressive in the quarter even the fourth quarter, again, price but a little negative volume maybe. Can you just take us through what parts of the channel, light, heavy, where is the volume negative? Because you don't seem like you feel Americas getting any worse on a macro perspective, if I'm not representing that correctly, please let me know. I'm just trying to make sure I understand the trajectory starting '25, particularly on America’s volumes?
Shyam Kambeyanda: Yes. I think in the quarter the best way to put it, the third quarter had a few weather-related items in there. We had -- the channel was a bit slower on its uptake, the DIY, the do-it-yourself channel was a bit slow in the quarter. But then we also had opportunities for growth and margin expansion but also be able to sort of pull through some other product lines that we had brought to the market. So short answer is the broad spec of stuff is that North America is a bit sluggish but nothing getting worse. The growth bridges that I've worked with the team clearly show our plans and customers that we can go after in terms of share of wallet and activities that we can put together as a team. So we feel really confident about our execution against those plans regardless of what the market does. And the other thing there, David, I think we've said this before, our share position in equipment in North America is small enough where small increments in shifts are beneficial to ESAB and we're seeing progress on that particular front. And we have not talked about this enough. Our gas control business is also doing well in the North American market and all of that is benefiting us.
David Raso: That's why I wanted to focus a little bit on gas control. For next year, is there any indication, even if we think welding equipment as an industry sluggish next year, maybe you can take a little share within it. Is gas control in a situation where just you're obviously gaining some momentum as the industry leader. Is that a business you would feel a lot of the things that we're talking about, obviously, you usually confident on your margins. Gas control growth in '25, is that something you put pretty high on the comfort list of what we can expect?
Shyam Kambeyanda: We're obviously expecting -- we've talked about that business over time being mid-single digits. Next year, we think on the higher side of low single digits on the gas control side of our business and something that we've talked about in the past, that business for us today is at sort of premier industrial margin profile. And so any growth that we get there is a higher caloric mix for ESAB. And then also what it allows us to extend into as we look at our funnel of acquisitions as well which I might add, David, I know we didn't talk about this earlier and I mentioned in my script, our funnel is the strongest it's ever been. And so we hope that we can continue to do a few inorganic deals as well to strengthen our position there.
David Raso: In gas control deals, as much as your margins are above company average, are the general targets you're looking at also accretive to margins?
Shyam Kambeyanda: That's right.
Operator: And our next question comes from the line of Chris Dankert with Loop Capital.
Chris Dankert: I guess, first off, just a point of clarification maybe. Great to hear with the double-digit growth in equipment. But looking at the 10-Q, equipment was up closer to 5%. Is the difference there just how Russian sales are disaggregated or maybe if you could just clarify on that point?
Kevin Johnson: Yes, the numbers that would include some element of the total business. So it's on a GAAP basis, so that would have a little bit of impact. And also, when we were talking about equipment, we also would have some automation going through that mix number within the 10-Q and when we're just talking about the heavy industrial and light industrial equipment are not included in the automation component.
Chris Dankert: Got it. That's really helpful. And I guess kind of a nice segue. Just when we're thinking about automation sales in the quarter, you gave us the CAGR but any comment on automation sales growth specifically? And is that still around 10% of overall equipment sales or you kind of lump it all together?
Shyam Kambeyanda: Yes, that's right. It is about 10% of our sales today.
Kevin Johnson: Yes. In terms of the automation business, on the cobot side, we're continuing to see good trajectory, Chris. So that was up nicely within the quarter. Obviously, the area that's a little bit slower is the work that we do by the integrators which has been a little bit slower in the quarter.
Shyam Kambeyanda: On the order side and the backlog side of automation, the funnel looks really good. And I think that we're expecting that market to continue to go. One of the other things that I'd tell you, Chris, we've received several inbounds from integrators to partner with ESAB now, now that they've seen our workflow solution and what we've created which actually has been a pleasant surprise because one of the things that we have been doing is we're very comfortable partnering with integrators and not doing end-arounds and that has helped ESAP position itself to where in the past, some integrators we have not had access to. And today, we're getting calls from them. So there's real good momentum as we go into the fourth quarter and into 2025 on the OpEx side of automation for us and how we were thinking about that business that makes us less cyclical and better margins over the long term.
Operator: [Operator Instructions] Our next question comes from the line of Bryan Blair with Oppenheimer.
Bryan Blair: I was hoping you can offer a little more color on early-stage integration with Linde Bangladesh, where your team is really focused in the early going, if you've seen any surprises? And then in terms of M&A, you just mentioned that the funnel has never been better. Are near-term prospects weighted to gas control kind of consistent with the medium, long-term planning of your team or should we think about funnel composition differently over the coming quarters?
Shyam Kambeyanda: Yes. To answer the question on Bangladesh, I was actually with the team and spoke to them more recently. I think the team is excited to be part of ESAB. I think one of the things that we've talked about as well is that having focus on a business helps. I had a chance to review some of the growth bridges with our team. They look extraordinarily strong. But the other part for us is that it gives us capacity to continue to serve that subcontinent. And so the opportunities for Linde, Bangladesh is not just for the country of Bangladesh but also extends for South Asia and possibly Southeast Asia as well in terms of our growth opportunity. So we're very excited. The other piece that we've often talked about, it was primarily a consumables business and we now get to introduce equipment into the market. And so all in all, we feel really good about how we're positioning ESAB in that subcontinent. Your question around acquisitions, we actually have a funnel that's pulled both on the FABTECH side and gas control side. So it's tough to sort of predict which one comes first. But there are several ones out there that could come our way in the early part of 2025. And so the thoughts for us is that we're going to extend both. If you remember from Investor Day, we had about $300 million of acquisitions we wanted to do and get in our FABTECH side of the business and about $400 million to do in gas control. My thoughts are that what you've seen today is us make some really strong progress on the FABTECH side and we could be done earlier on the FABTECH side and it could take us our time until 2027 to finish out the gas control side of the business. But really feeling good about the pipeline, the cultivation that our team is doing on the acquisition front and the quality of businesses that we're looking at on both sides.
Bryan Blair: Understood, very helpful color. And your team's multiyear focus on refreshing your equipment portfolio, particularly in North America, obviously, bearing fruit at this point. I guess 2-part question. One, I believe you're fully through the late industrial refresh. Is that the case? And then second, in terms of heavy industrial applications, where do you stand now? And what's the time line to completing the full...
Shyam Kambeyanda: Yes. I think the view that we had -- I want to be sort of clearer on this. I think it's probably a good way to look at the big refresh is done but we continually want to innovate on our product line and introduce changes and better models and improvements to the products that we already have in the marketplace. And so there are a few that we want to get done. I think one of the things if you were at FABTECH, you probably saw our engine-driven welder. We expect to kind of build out that product line. And the second one, we absolutely want to get done is on the robotics side of Warrior Edge. We plan to introduce more product lines on that front in 2025 in the first and second quarter and possibly into the third quarter. And the other one also for us would be more battery driven product. We're looking at also creating more battery-driven products and widening the range off of what I think has been an extraordinarily successful product for us with the Renegade VOLT.
Kevin Johnson: Guys, if I could just sort of highlight one last thing. We talked very little about our gas control business but I'd say, the innovation piece there, the performance of our specialty and medical business on that particular side of the equation has done really well. We talked about positive price and volume on that side. So we're really pleased with how gas control is performing and the momentum it's taking into the fourth quarter and our expectations for '25. But again, thank you for your questions.
Operator: And that does conclude the question-and-answer session. So I will now hand it back over to Mark Barbalato for closing comments. Mark?
Mark Barbalato: Thank you for joining us today and we look forward to talking to you again next quarter.
Operator: And ladies and gentlemen, that concludes today's call. Thank you all for joining and you may now disconnect. Have a great day, everyone.